Operator: Greetings, and welcome to the Astec Industries' First Quarter 2018 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Steve Anderson, Vice President and Director of Investor Relations. Please go ahead Mr. Anderson.
Stephen Anderson: Thank you, Rob. Good morning and welcome to the Astec Industries' conference call for the first quarter that ended March 31, 2018. As Rob mentioned, my name is Steve Anderson and also on today's call are Ben Brock, our President and Chief Executive Officer; Rick Dorris, Executive Vice President and Chief Operating Officer; and David Silvious, our Chief Financial Officer. In just a moment, I'll turn the call over to David to summarize our financial results and then to Ben to review our business activity during the first quarter. Before we begin, I'll remind you that our discussion this morning do contain forward-looking statements that relate to the future performance of the company, and these statements are intended to qualify for the Safe Harbor liability established by the Private Securities Litigation Reform Act. Any such statements are not guarantees of future performance and are subject to certain risks, uncertainties and assumptions. Factors that could influence our results are highlighted today financial news release and others are contained in or in the report and are filings with the SEC. As usual we ask you familiarize yourself with those factors. So at this point, I'll turn the call over to David to summarize our financial results for the first quarter.
David Silvious: Thanks, Steve and good morning everyone, thank you for joining us. Net sales for the quarter were 325.5 million compared to 318.4 million in Q1 of '17, a 2.2% or $7.1 million increase in net sales. International sales were 55.4 million in this quarter compared to 64.9 million last year, a decrease of 14.7% or $9.5 million decrease. The decrease in the international sales quarter versus quarter was primarily in Australasia, Canada, Mexico and Russia. Those decreases were offset by increases in South America including Brazil and the post-Soviet states. For the quarter, international sales decrease in the infrastructure group and the energy group and the increased in the aggregate mining group. International sales were 17% of sales in this quarter compared to 20.4% of sales in Q1 '17. Domestic sales were 270.1 million in Q1 of '18 to 253.5 million in the first quarter last year, an increase of 6.5% or $16.6 million increase in domestic sales. Therefore domestic sales were 83% of sales this quarter compared to 79.6% of Q1 '17 sales. For the quarter domestic sales increased Aggregate and Mining Group and the Energy group and decreased in the Infrastructure Group. Part sales were $88.1million this quarter compared to $81 million in Q1 '17, an increase of $7.1 million or 8.8% increase. Part sales represented 27.1% of our quarterly sales this year compared 25.4% of sales in Q1 '17. For the quarter part sales increased in each of our group's. Foreign exchange translation had a positive impact on sales for the quarter of approximately $2.2 million that is if this year's rates will equal rights sales would have been $2.2 million lower. Gross profit for the quarter was $78 million compared to 75.8 million in Q1 of '17, an increase of 2.9% or $2.2 million increase. The gross profit percentage then was 24% for the quarter compared to 23.8% for Q1 '17. That gross profit included an absorption variance of $4.4 million this quarter under absorbed compared to Q1 of '17 when we had over absorption of about $700,000. That's a negative change in the absorption variance of about $5.1 million. SGA&E was $52.1 million in Q1 this year. That represented 16% of sales compared to Q1 '17 SGA&E of $53.1 million or 16.7% of sales, so decrease of $1 million in dollar terms and a decrease of 70 basis points as a percent of sales. Recall that we did have connects with our last year of about $4.3 million in the quarter that would've been a comp of 48.8 million in Q1 '17. The increases in this quarter are that we bought RexCon in October of 2017 that added about $1 million to SGA in this quarter and payroll and related benefits were up, our head count up and so is our commissions and things of that nature, so payroll and benefit related costs were up about $2.2 million in the quarter. Operating income was $25.9 million in the quarter compared to 22.7 million in Q1 of '17, an increase of 14.1% or $3.2 million increase. Interest expense was 150,000 per turn of $65,000 last year for the quarter and the primary driver of that interest expense, recall we do have debt in Brazil. It's about $3.4 million this year, it was about 6.3 million last year that is there to finance their building fixtures and inventory. The effective tax rate for the quarter was 23% compared to 34.1% last year. The decrease in the tax rate year-over-year is largely the result of the reduction in the corporate federal income tax statutory rate and that was done by the Tax Cuts and Jobs Act of 2017. That rate included a couple of provisions to return benefits which drove it slightly lower than our expectation for the full year. Over the remainder of the year those benefits will become diluted by more income and of course the then the rate would we would expect it to rise slightly through the year and end up in the 24.5% range for the full year Net income was $20.3 million in this quarter compared $15.1 million in Q1 of '17 to 34.4% increase or $5.2 million increase in net income. That yielded diluted earnings per share for the quarter of $0.87compared to $0.65in Q1 of '17, a 33.8% or $0.22 per diluted share increase in EPS. EBITDA for the quarter was $33.2 million or 10.2% of sales compared to 29.4 million or 9.2% of sales in Q1 or '17. That's an increase of 12.8% or $3.8 million dollar increase in EBITDA. Our backlog at the end of March was $444.9 million compared to $377.6 million at the end of March of '17. Recall that those all amount of prior numbers are adjusted for RexCon, which we bought in October 2017. That increase in the total backlog was $67.3 million or 17.8% increase in total backlog. International backlog at March 31was 103.8 million compared to 71.8 million in March 31 of 2017, an increase of $32 million or44.5% increase in the international backlog. Domestic backlog was 341.1 million compared to 305.8 million at the end of March last year, an increase of $35.3 million or 11.6% increase in domestic backlog. Excluding the pellet plant backlogs, the March 31 this year backlog was 378.3 million compared to 309 million at March 31 last year, a $69.3 million or 22.4% increase. Sequentially the backlog at the end of March again 444.9 million and at December 3, 2017, the backlog was 411.5 million that is a $33.4 million increase or 8.1% increase in the sequential backlog. Foreign currency translation again had a positive impact on the backlog. If we had used the same rates as last year the backlog would have been $4.2 million lower. The balance sheet remains very strong. Our receivables were at 153.9 million compared to 156.2 million at, March 31 of last year, a decrease of 2.3 million. RexCon added $1 million of the receivables that are in this year's balance sheet. Our days outstanding on those receivables were 41.7 days at March 31 this year compared to 43.2 days at March 31 of last year, a slight increase later. Our inventories at $411.2 million this year compared to372.6 million last year, an increase of 38.6 million and RexCon added 10.6 million of the 411.2 in inventory that we have on the balance sheet this year. Our turns are 2.4 turns and they were 2.4 turns last year at March 31, so these remain flat. We have nothing on our $100 million domestic credit facility and we have $41.9 million in cash and cash equivalents on the balance sheet. Our letters of credit outstanding are $9.4 million, yielding a borrowing availability of $90.6 million and we currently have again $3.4 million of debt in Brazil. Our capital expenditures for the quarter were 4.4 million and for 2018 we're forecasting around $35 million of capital expenditures. Depreciation for the first quarter was $5.6 million and we are forecasting for the full year of about $23 million in depreciation. That concludes my prepared remarks on the financial side, so I will turn it back over to Steve.
Stephen Anderson: Thank you, David. Me and Brock's now are going to provide comments regarding the first quarter of this year's operations. Ben?
Benjamin Brock: Thank you, Steve and thanks to everyone for joining us on our call today. As we commented in the release this morning, we were pleased with our results for the first quarter. Our earnings per exceeded our expectations as they rated back a favorable product mix and as David mentioned a lower tax rate. Our gross margin for the quarter was improved to 24%, which has progressed toward our goal of 25% gross margin exiting 2018. Our EBITDA was 10.2%, which has improved versus our EBITDA of 6.98% for the whole of 2017. We will look to grow EBITDA as we grow gross margin. As we mentioned on our last call in support of our focus on better financial performance, we added a new Vice President of Global Operational Excellence during the first quarter this year. Our new VP was with us on our quarterly review trips earlier this month and we're excited about our opportunities to improve gross margin as mentioned, in addition to working to increase on inventory turns from our current 2.4 turns to four plus turns by 2020. Our backlog at March 31, 2018 was 444.9 million versus 377.6 million on March 31 last year. Our Infrastructure Group backlog was 4% as the group continued relatively good order intake during the quarter, mainly as a result of good economic conditions in the federal highway bill in the United States. Ex with pellet plants the infrastructure backlog was up 7%. Our Aggregate and Mining Group backlog was up 38.6% as the group experienced strong order intake for the same reasons. Our Energy Group backlog was up 35.8% as the group experienced very good order intake for product serving customers and construction, industrial, oil and gas. We also experienced increased coding activity in the oil and gas drilling products. Our domestic backlog was up 11.6% and our international backlog was up 44.5% year-over- year. Our increase in domestic backlog was primarily due to the current long-term federal highway bill, steady state and local government infrastructure spending and good private sector work levels for the majority of our infrastructure customers. Our international backlog increase was a result of improved economic conditions generally around the world. Our Astec do Brasil subsidiary continued to experience increased coding activity. Changing subjects the pellet plants, 2017 was an extremely challenging year to us with regards to these plants as we took significant charges. Last year we were delighted to getting the two plants to be delivered, installed it and getting them up to speed on production for our customers. As an update on our progress with our plants, we've made good progress and believe our announced charges during 2017 are adequate to fulfill our commitments to our customers. Updating our current pellet plant code activity, we do have ongoing code activity for new projects. However, as previously announced we are not going to sign a new pellet plant until we have finished both of the current plant sites. We believe we will be in position in order and time to deliver a complete plant, a complete big pellet plant in 2019. As a reminder if we do get an order for another big pellet plant, we'll only do so as a supplier of equipment in accordance with our traditional equipment, parts and service offerings. Changing subjects go the Energy Group, we experience good sales activity during the first quarter for products targeted at the infrastructure, oil, chemical and food industries, which contributed to the increased backlog in the group. So the wood chippers and grinders also remain consistent during the quarter. Our concrete plants are built in Energy Group and coding activity is good for these plants. We are optimistic on our outlook for the Energy Group. Our new product development continues in all groups, however at a more typical rate versus the high rates of R&D in 2016 and 2017. Looking ahead to the second quarter of 2018, we believe our second quarter of 2018 revenue will be slightly higher than our first quarter 2018 revenue and with regards to earnings in the second quarter of 2018, we expect our earnings per share to be slightly better than our first quarter of 2018 earnings per share which was $0.87. Our current outlook for the full year of 2018 is core revenue is up 7% to 12% versus last year last year with a much improved net income for the year versus 2017. Despite the gains we believe we will show in 2018, we still have opportunities to be an even better company for our customers. Our focus is on producing even higher quality products than we already do for our customers are focusing on operational excellence. We continue to see our vendor partners especially those with products that contain steel working to increase prices. We have also seen steel supplier vendors fishing for the same. We're working to offset these pressures through the operational efforts mentioned earlier, focused procurement efforts and price increases where possible. From our last earnings release to now, orders have been steady in the infrastructure group, improving in aggregate and mining group and improving in the energy group. Orders have been up internationally. Bright spots for activity are hot mix asphalt equipment sales, includes asphalt plants and mobile equipment, concrete plant sales so remediation plant coding activity which represent grinders, aggregate crushing and screening equipment coding activity and international code activity. Year-to-date part sales were up 8.8% versus last year and were 27.1% of sales versus 25.4% of sales in Q1 last year. Part sales remain a key piece of our business and we are focused on continuing to improve our part sales. For the whole of 2018, we remain optimistic on our outlook. We believe all of our reporting groups have the opportunity to be up on sales and net income for the year. Acquisitions remain a part of our growth strategy along with organic growth. To that end, we continue to work on potential additions to the Astec family. However, we will only do so, if the acquisition is a strategic play aligned fit within the industries we serve. That ends my comment on the quarter and what's in front of us. I want to thank everyone again for taking the time to be our call and for your support as we do that. And I'll turn it back over to Steve Anderson.
Stephen Anderson: Thank you, Ben. Rob, if you will open up the lines we'll be glad to entertain questions.
Operator: Thank you, Steve. [Operator Instructions] Thank you. Our first question comes from the line of Larry De Maria with William Blair. Please proceed with your question.
Larry De Maria: Hi thanks. Good morning guys. I wanted to be more specific on inflations and steel cost and where you're getting, where - how much portfolio you maybe are getting price increases, how much we're not and as it relates to get into 25% of gross margin at the end of the year, what kind of risk does that material cost play or are we more or less - the industry is okay with pretty decent price increases, so can you give some more specifics on that please? Thank you.
Benjamin Brock: Hi, Larry, this is Ben. In the first two weeks of the quarter here we visited with all of our subsidiaries and we're seeing price increases on steel everywhere, but the good news for us is if there is any is that by and large we're covered as we go ahead a little through the end of this quarter, so really the effect on us probably starts third quarter or fourth quarter and it offsets our working on operations to be a little better and working on purchasing of other items a little better and then price increases that you asked about and we have done that on the pricing side. How much of that sticks remains to be seen, we did that mostly late in the first quarter, our competition by and large is doing the same because the steel cost is a real thing. For instance we notified one customer that's a long time customer of ours that we had increased prices and they said your competitor did the same thing an hour before you called. So we do see that our customers, they buy steel, they understand that prices are going up, so we're working on making those stick. As far as the exposure for us is probably late third or early fourth quarter, but we feel like some of the things we're doing in the background to offset it will help us, we still have our target to exit the year with 25% gross margin in place.
Larry De Maria: Great, thank you and as it relates to the competition doing the same, specifically if, - I don't know if you're referring to Virgin [ph] that's where obviously it's a Q point where people are trying to figure out what's going to happen, we're now with new ownership, but has that been a rational process so far?
Benjamin Brock: Well, we've - they've always been a mean competitor, for lack of a better way to say it and it's been about the same. We have seen areas where they raised prices, where they used - that I would say by and large they're still a strong competitor. They do have three of their - a lot of the dealers for them in the United States are also commodity dealers and there was a public announcement of the three commodity owned stores in the US are moving away from the working brands later this year, so that's got some of their network obviously got a little bit nervous about that we would assume, but for us it's still their strong competitor and we've got to continue to find.
Larry De Maria: Okay, is the commodity an opportunity for you guys, is that something that can be discussed at this point.
Benjamin Brock: That's probably too early to tell for us frankly, we're happy with our dealer network as it stands, so we're pleased where we are right now.
Larry De Maria: Okay and then just the last question. As it relates to our pellet plant issues, you said you're - I guess you're on track to potentially get an order for 2019 delivery, but can you just be more specific, what are we waiting for? It sounds like the issues are behind you guys, but we need to see a little bit more before we can take an order or are we just - where exactly - are we a quarter away from trying to get an order or how does that look?
Benjamin Brock: Well, we want to be completely finished at both places before we take an order and we feel like in Georgia that we passed the test, we're meeting with them next week to talk through that. In Arkansas, we actually have told June 19 now, we've had weather issues, we've had some mechanical issues and we've modified some equipment. It is tight at Arkansas. We've got a pathway to finish, but it is tight and so we're all hands on deck on that, but I feel like with what we committed to we have the - the charge we took last year is adequate that we've got to finish, so we're all hands on deck in Arkansas and that's where we stand. We're just not going to take an order unless we do and if we don't get one in time to deliver in '19, we don't - we just, we want to finish first.
Larry De Maria: Okay, the June 19 is kind of the next bogie for - but that's the next deadline and if you pass that then you're better placed to go out and bid out for new orders?
Benjamin Brock: That's correct.
Larry De Maria: Okay, thanks very much and good luck guys.
Benjamin Brock: Thank you
Operator: The next question comes from the line of Stanley Elliott with Stifel. Please proceed with your questions.
Stanley Elliott: Hey guys, good morning and thanks for taking my question. Following up on with pellet order, you said the charges you took were adequate, you said some weather, some mechanical issues, is that related to the same sorts of issues, which I believe that the hammer mill press that you guys had last time or if you - any color there would be great.
Benjamin Brock: Well, Stanley this is Ben and I think whenever we get into these, there's always something that'll pop up, but thankfully what has popped up and mechanical issues that we corrected has not been extremely major And so the hammer mills that piece and all that we quietly fixed, the extra bag houses we fixed, whereas you start up, sometimes things happen like shaft on our drag will break and you figure out how to correct that and fix that and have a long term fix, so it's things like that. We're in a position where are - we need to be cranking up and run a full production and going through testing and we've got a lot of people on site to do that. Fortunately for the charge we that we took for the commitments we made with [indiscernible] coverage. It will be like an outside plant every now and then and something pops up and you got to fix it fairly quickly and that's what we're doing as we get ramped up.
Stanley Elliott: Perfect and then earlier in the call you'd mentioned you're pushing the inventory turns I believe to four times by 2020, can you talk about the pathway to that maybe what level of investment is going to be required to get that, assuming that I heard all that correctly?
Benjamin Brock: Stanley, a lot of it comes to better inventory management. You see where our inventory level is with David's comments and part of that we bought ahead some steel, which turns out, looks like data right strategy. Part of that was specifically we've built a lot of equipment ahead in anticipation of going live on our new VRP system and we have not worked through that inventory as quickly as we thought. You kind of got to guess what's going to sell and - had a pretty good quarter volume wise, but had to build a lot of it too. So we're probably - we're a little heavier attack as far as that goes and then we've done a decent job to strike the steel by head and our steel turns pretty good, where we frankly need to manage our purchase inventory a little bit better. And then also and flow through shops and cycle turns [ph] and that's where our new VP of Operational Excellence is really going to help us and the conversations with him, find around the different companies first of this month and he was at one yesterday, I just think the opportunities to get there are very real.
Stanley Elliott: And then lastly conversation customers ahead of world asphalt trade show, maybe you could kind of share any pros of wisdom that you're picking up in the field in terms of how people are thinking about kind of the year, the sentiment out there or anything like that would be great.
Benjamin Brock: Well, the customers that I've talked with at world asphalt and in between after world asphalt, general sentiment remains strong with confidence. And in one of the conversations with one of the customers was centered around an asphalt plant and delivery on that and what's the increase on steel and talked through that and he was like well, I'll be okay because there's good work and that sounds okay. So I just - it still feels pretty good. I was on the phone with a customer last night and I asked him how things were going? He said, it's going great if we just get the rain to stop it will be great. There's been a lot of rain in the southeast.
Stanley Elliott: Yeah, for sure. Great, guys, thank you very much. Best of luck.
Benjamin Brock: Yeah, thank you.
Operator: The next question is from the line of Mig Dobre with Robert W. Baird. Please proceed with your questions.
Mig Dobre: Thank you good morning everyone. Ben, just looking at that 1Q results, your earnings $0.87 really materially better than what we what you are guiding to initially for $0.77 and I'm just sort of wondering from your perspective what works out better than you expected in the quarter, was it a factor of revenue or something else within the cost structure, how did all play out?
Benjamin Brock: It's interesting, we had order creep, but what didn't creep out was really good product mix that we performed a lot better on and that contributed to it and then the other thing that helped us - the lower tax rate helped us frankly, but it helped us to ensure our margins up, still hard work to do to get to 25 exiting the year, that was generally it. And it was very pleasing and that slightly more would have not been as high as we got for sure, but it was unexpected frankly, but we welcomed it and that's really where it was.
Mig Dobre: I see, is there something at segment level that you can call out in terms of the mix because related to this I'm wondering as we're thinking about the rest of the year, if we should be anticipating any specific mix shift that would impact margin.
Benjamin Brock: I think in the second quarter it's going to be a similar mix and that's why we say slightly better than this quarter, I think the revenue will be slightly better as well. I think when you look at it the aggregate group has some good - pretty good mix. They did more unit sales of crushers than project sales and that always helps them and also we do fairly well on our track equipment and had a good quarter on that. In the energy group side a lot of what has helped us is, Gefco has improved quite a bit and got to profitability in a good way and the proper trailer sales are sales are good, got some backlog there, they've worked through a lot of inventory with that because we have some proper inventories, engines and that type of thing, so that really specifically helped us during the quarter as well in the energy group.
Mig Dobre: Okay, I see and when you're talking about the outlook for the four year of 7 to 12 as well as your - that's for growth as well as for margin exiting the year, gross margin at 25% to be clear, we're not including the pellet plant revenue recognition into that in the fourth quarter right?
Benjamin Brock: That's correct, that's correct.
Mig Dobre: Okay, then with that being said, understanding that Q2 is going to be somewhat similar to Q1, is there a sense of whether or not we should be sort of thinking about a seasonal dip in gross margin in Q3 before rebounding to Q4, is that how you think about it or a little?
Benjamin Brock: Yeah, it is, maybe a little - Yeah, I'm sorry, go ahead.
Mig Dobre: I was just wondering if you sort of expect just kind of a more linear progression in terms of gross margin improvement through the year.
Benjamin Brock: Right, I do think we'll see a better revenue dip in the third and that's pretty normal that I think will be able to hold our margins out a little better. And we're not refining on steel, I mean that's for sure, but I just think we're going to be a little bit better there.
Mig Dobre: Right I mean historically it looks to me like that was kind of a case of seasonality. I just want to make sure we have the expectation that properly. Then lastly on SG&A, you're running north of 16 as a percentage of sales. How do you think about this line item longer term as a percentage of sales and what can you do to potentially manage this down over time?
David Silvious: Hey, Mig, it's David. The SG&A, yes, you're right and we're about 16% this quarter and have been higher than that. And long-term I expect this line item to be bouncing around 16. We want to keep it under that, that would be our goal. Part of the interplay of first quarter always is a strange quarter because of the interplay of - that's the quarter that we do things like pay out profit share and so there are increased 41K contributions and fighter taxes and unemployment taxes and all that stuff sort of piles up on you in the first quarter. We did have a show and couple of shows expensed in this quarter, Intermat and world of asphalt had some expenses in this quarter that didn't exist in Q1 of last year, of course last year Conexx [ph], but I mean we do have increased over head, I'm sorry increase headcount as well as basically with the addition of about eighty folks at RexCon which we bought in October of last year. So I would expect long term to see this thing running slightly sub 16, but I do expect it to be in a dollar - from a dollar perspective higher as our sales grow. It tends to grow with that and includes commissions and travel and all that sort of things, so I would expect, we're managing it to be sub 16%, but I do expect it to grow in dollar terms.
Mig Dobre: Okay, I appreciate it. Thanks.
Operator: The next question is from the line of Jon Fisher - Dougherty & Company. Please proceed with your question.
Jon Fisher: Thank you, good morning. Just going back to your rain comment a little bit ago, just the overall weather outlook in the quarter. When you talk with customers and get feedback from the sales forces, had there been much in the way of delayed projects or push outs due to weather or was generally good enough that things actually remained on schedule through Q1?.
Benjamin Brock: Jon, this is Ben. I have not personally heard customers saying that pushed them out on the equipment side. It has stayed steady, so I can do some double checking on that, but I've not necessarily heard that personally.
Jon Fisher: Okay, thank you for the feedback and then just from a cash standpoint. No cash was taken yet, I can see that in the10-Q, but just the cash level before the end of the quarter was a little bit lower than what I expected and I was just wondering from a payable standpoint kind of understand and proceed the explanation on inventories, but I just wonder if there wasn't anything one off from a payable standpoint or expense or anything that caused a cash level to drop from the end of last year.
Benjamin Brock: No, there was nothing in particular. We did have to some taxes, make some estimated payments there. Based on this year, our expectations are a little higher than the full year 2017 turned out to be. We did add to some inventory and certainly the acquisition of RexCon last year took the chunk out in the quarter and so, we haven't necessarily made that back up yet, but those are - so it's sort of normal cash flow during the quarter, it wasn't anything really odd ball.
Jon Fisher: Okay and then just the incremental million in SG&A from RexCon, is that something that's kind of permanent now or is it just something that was temporary short term that can be worked through over the course of the year.
Benjamin Brock: No, that's going to be a permanent addition. I mean obviously the SG&A will fluctuate from quarter to quarter, but that's what it was this quarter, so I would expect it to be in that range on an ongoing basis each quarter.
Jon Fisher: Okay, thank you.
Operator: The next question is from the line of Brian [indiscernible]. Please proceed with your question.
Unidentified Analyst: Hi, good Morning. Just from a strategic perspective and I appreciate the color on any working changes with their new talent. You've added an operating result, so to speak, is there any discussion as to the need to also get bigger to get at least some scale benefits than they have been relatively less than the working has there?
Benjamin Brock: Well, as far as Roadtec goes, the strategy to get bigger there was through the distribution that we've done. We've gone to the dealer network, we've done that over a few years we didn't know that Deer was going about working when we started that process, that will be helpful to them the other thing that will be helpful as we work to grow and get more size is the international plan that we're working and start up regional offices which are obviously closer than we already are to customers, with slight changes to our products for international market that we have not necessarily done a great job of over our whole history, but they're having those guys in the regions focusing on that little that will help us get back size as well. I would say that we can actually get bigger with our existing footprint particularly at Roadtec with the work that our operating person will work with that's probably - our very first big project will be Roadtec as far as that operational side goes. But I would still say we've had to compete with them for many years before Deer bought them and they were a multi-billion dollar company at the time and we were certainly held on our own in the markets where we're serving and mainly in US, Canada and some Latin America. But we're going to look to grow that footprint and indeed there is some product changes in working on the facilities where we compete with them.
Unidentified Analyst: Okay, thank you.
Benjamin Brock: Okay, thanks.
Operator: The next question is from the line of Mike Shlisky with Seaport Global. Please proceed with your question.
Mike Shlisky: Good morning guys. I had some that's been answered just feel free to have me go to the transcript. First off I want to ask as about, you had mentioned you're looking to improve inventory turns, which is great news of course. Can you just give us a little color as to how you plan to get there? Is there anything that you're doing at the warehouse level or is it just ordering in advance of the - is it more ordering your parts at the same time of the order of the - from the customer and if you do get some good take of inventory and faster turn, is there any plan for any kind of it trying to catch as you could squeeze out as a result?
Benjamin Brock: This is Ben and I think we've got quite a few opportunities. I think with regards to inventory turns and we've done it. And we started working on lean probably later than most of our competitors and did an okay job with that and I think we actually done better we give ourselves credit for because when we were doing it we were in tight markets and we were able to maintain market shares in our margins Well, not exactly where we wanted them held their own through the down cycle. However, as we've gone to a bigger up cycle and looking at where top teens were to get better on bringing in the new VP of Operational Excellence with his experience and he's got a lot of good experience and worked it through and helped a lot of companies. It's just giving us another look from outside and opportunities to get better and cycle times and in purchasing and basically the whole order process from when the sales takes and gets all the way through to ship it, so it's some just in time, it's some quality and that's quality from actual order all the way to engineering to when it gets in the floor. We just see a lot of opportunities to increase our turns that way, so it's a multi-pronged effort and I love to zero in on one thing that I think if there was one thing we can certainly manage our purchase parts on hand a lot better. I do think we've done a decent job on steel in most of our places, some better than others because some are closer to the steel source than others. But I just think we've got a lot of opportunities through just getting better at managing what we're holding on to and our stock accounts to our shops.
Mike Shlisky: And as far as the cash that might result what - is there a plan for it?
Benjamin Brock: I think we're early enough into this and we don't have - no we are early into this, we don't have that yet, but there will certainly be a point when we - he does really fully started on with us March 1, so we're just getting arms around that. We'll probably have that in a few months and that I think is just too early for us to put a number out like that.
Mike Shlisky: Okay, got it. I want to ask secondly about labor availability. Some of your facilities domestically are in smaller cities I wanted to make sure are you, seeing any issues with getting enough labor or getting the people to build your pretty decent backlog here?
Benjamin Brock: Welders and fabricators we haven't had as much trouble as we have with machinists. Probably the toughest labor market haven't just gone to almost all of our places in the US and Canada last three weeks, I think South Dakota is probably our toughest labor market. Everywhere else it seems like we can get welders and fabricators it's still taken us a little longer than it did in the down cycle when we needed people, but again as the machinist and that skill trade that's the tougher, the tougher person to hire right now.
Mike Shlisky: Okay, thanks so much for the color, I appreciate it.
Benjamin Brock: Thank you.
Operator: The next question is from the line of Brian Rafn with Morgan Dempsey. Please proceed with your question.
Brian Rafn: Good morning guys. Question for Ben, in some of your conversations with your customers when you look at demand for hot mix asphalt plants or some other road building equipment from say, Roadtec, is your sense that your customers replacing obsolete equipment or do you think they're actually expanding capacity?
Benjamin Brock: I think right now I would say we're at about a half and half. There's still a lot of older plant replacements and then we are seeing new plants, new production or affordable looking for new markets for people that are established maybe in a metro area.
Brian Rafn: Got you, what - you were talking about some fairly nice ramp up and big code activity in the oil and gas site or the energy side. What specific products you mentioned pumpers trailers, anything else that's seeing some interest?
Benjamin Brock: Yeah, both those rigs and pumper trailers, but more pumper trailers than the drill rigs.
Brian Rafn: Okay, as you guys kind of amp up, any capacity utilization bottlenecks, are you running any multiple ships in any of your subsidiaries, any over time, how do you see 2018 building out?
Benjamin Brock: Yeah, most of our divisions are running some level of overtime right now. Some of our capacity constraints that - before we might have felt like we were fully constrained at a plan or close to how utilization - our minds have changed on that a little bit with our new loom, with the operational fell on, but I would say utilization is fairly hot in those developed facilities.
Brian Rafn: Got you, relative for the pellet plants, as you guys move through the first couple of plants you put out the light of those plants how much did you guys focus on service parts, how much service part repair or replacement, how much of that on the pellet plant side is available versus your normal infrastructure side? Thanks.
Benjamin Brock: We see it as being about the same. We don't put any - we try not to put any two specialized purchase parts on plants because we want it to run and they need to be able to get them, but we do hold the inventory for supportive parts, buts we think it will be in line with our normal run rate on parts for asphalt plants would be a good example although the plants do are targeted to run higher hours per year. So the potential is there for a little bit more, but we still think it'll on line.
Brian Rafn: Got you and wondering from a strategic standpoint kind of a future runway for the pellet plants is - are you seeing - would you say over the next three to five years or might you see five or ten or dozens, how big of a footprint - would there be a market domestically for those pellet plants?
Benjamin Brock: Well, for us - just speaking for Astec, once we're through we gave you and we offer the plans that we said - they've classes they run, we see it as a potential of being about $100 million year business for us. There could be more plants sold in that and they should be based on the projections of pellets needed for - the production needed for pellets in the UK and Japan particularly, but for us we see it as a potentially $100 million business.
Brian Rafn: Okay and then just on the infrastructure side, what - any specific products on the road building side - [indiscernible] versus spreads or anything to standout demand wise?
Benjamin Brock: It's pretty steady right now and pavers we rightly feel like we might even take a market share. But in the plants we're maintaining our traditional strong market share. And it's active although - to the earlier question would there be a little seasonality in the third quarter, we think there probably will be a little bit of that per normal on the asphalt side.
Brian Rafn: Okay and then on the hot mix asphalt plant, what's kind of the mix between fixed site versus mobile?
Benjamin Brock: I don't have any scientific data on that. I'm going to - my gut tells me right now we're about 70% and 30% mobile.
Brian Rafn: Okay, alright. Hey, great quarter guys, thanks so much.
Benjamin Brock: Thank you.
Operator: Thank you. At this time I'll turn the floor back to Steve Anderson for closing remarks.